Operator: Good morning, ladies and gentlemen, and welcome to Capstone Mining Corporation 2013 Second Quarter Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for any questions. (Operator Instructions) I would like to remind everyone this call is being recorded on Wednesday July 31, 2013. I would now like to turn the conference over to Ms. Cindy Burnett, Vice President of Investment Relations. Please go ahead Ms. Burnett.
Cindy Burnett: Thank you. I would like to welcome everyone on the call today. The news release announcing Capstone’s Q2 financial results is available on our website, along with a PowerPoint presentation that contains summary information on the company and the financial and operating results. With me today are Darren Pylot, Capstone’s President and CEO; Jim Slattery, Senior Vice President and CFO; Gregg Bush, Capstone’s Senior Vice President and Chief Operating Officer and Rob Blusson, VP of Finance. I would like to advise you that this call is being recorded for replay through our conference call provider, and is being broadcast live through Internet webcast system. Comments made on the call today will contain forward-looking information. This information, by its nature, is subject to risks and uncertainties, and actual results may differ materially from the views expressed today. For further information on these risks and uncertainties, please see Capstone’s relevant filings on SEDAR. And finally, I’ll just note that all amounts we will discuss today will be in US dollars, unless otherwise specified. Now, I’ll turn the call over to Darren Pylot.
Darren Pylot: Thank you, Cindy, and good morning, everybody. This morning I’ll be giving you a review of our financial results for the quarter, update you on our development activities and provide an update as well on the Pinto Valley acquisition. Net earnings and cash flow were higher than last quarter on higher sales volumes as a result of higher production at Cozamin and higher sales at Minto. Adjusted net earnings for the second quarter were $13.1 million or $0.03 per share and $19.1 million or $0.05 per share year-to-date. Operating cash flow before changes in working capital was $28.6 million or $0.08 a share for the quarter and $48.7 million year-to-date. Our production for the quarter was 19.3 million pounds of copper and concentrate and our total cash cost for the second quarter was $1.70 per pound net of by-product credits. Mining operations at Minto continue to run well with record throughput achieved in the month of May. And as we mentioned in our MD&A however because of the pit wall failure in the fourth quarter of last year, we started the year basically two months behind the mine plant. We have increased the mining rates and additional resources have been added to ensure that mining is accelerated throughout the remainder of 2013. At Minto, we are curling in an area of the pit that is releasing relatively small amount of ore and Q2 was mainly focused on the pre-stripping of the next stage of the higher grade material from now to year end. The underground ramp development is also continuing to progress and we remain on target to reach ore in the third quarter as planned most likely at the end of August or early September. We have filed the Minto Phase V and VI environmental assessment, which when approved will permit all of the known remaining reserves on the property that makeup the current nine year mine life. And at Cozamin, we have made up the production shortfall that we had in Q1 as a result of water availability issues and both monthly and quarterly production records this quarter. Costs at Cozamin were higher and Q2 should mark the highest cost quarter for the year with cost now trending down from year to year end. The quarter was impacted by a strengthening Mexican peso and we incurred higher costs per water in the first part of the year. We are now into the rainy season and our water storage pond is back up to normal levels and our longer-term water sources are less extensive so we expect water costs to decrease going forward. We do expect contractor haulage costs to remain high as we made some maintenance enhancements there in that regard that will definitely improve the equipment availability. So, to summarize operations at the halfway mark of the year are largely on track. Our operating flexibility comes from the fact that the mines have now been operating for six or seven years respectively, which allows us the feasibility to correct as necessary. Our full year guidance remains unchanged with Cozamin expected to come in on the high end of the cost guidance and Minto at the low end of their production guidance. I’ll now move to Pinto Valley. We continue along with our counterparts at BHP to advance activities to wards close. With the most current information we have now indicating the closing is probable at quarter end or very early into the fourth quarter depending on the timing of the permit transfers. A number of activities that are required to close or completed including the antitrust approval and the operations meeting the required operating threshold stipulated in the acquisition agreement. For the mines, who operate for (20) period at an average of 85% of design operating parameters. The only condition left affecting the timing of the closing is the granting by regulatory authorities of the modifications to two permits that BHP had outstanding. These are normal course operating permits related to aquifer protection and the mine reclamation plan. Both permits are working their way through the system according to prescribed timelines and we just do not anticipate any issues in receiving them or closing the transaction. The precise timing is not however something that we can predict but you expect any variation to be a limited impact on the timing of closing. Regardless of when the actual closing takes place, we have structured the transaction so that we receive the net cash flow from Pinto Valley subsequent to August 15th. And this was negotiated in order to give us more certainty around the ceded cash flow particularly given the uncertainty around the timing of permit transfers and it will come thorough as a working capital adjustment and closing. The pre-feasibility study continues to progress (inaudible) year end timing. There was some additional work need to be done that we won’t be able to complete until after closing has occurred. And additionally since BHP is not a Canadian reporting company, we’ll need time to prepare this study in accordance with 43,101 and the requirement and those foreign requirements. Operations at Pinto Valley continue to ramp up according to plan with no major operational deficiencies. We’ll keep you updated on the closing date and timing of the pre-feasibility study as this information becomes available to us. Now moving on to our development and exploration projects, we continue to advance the Santo Domingo feasibility study and prepare the EIS combined by year end. We are continuing discussions with third party power providers and there are a number of options that we are continuing to review. We do remain optimistic that we’ll have a power purchase agreement in place early to mid 2014. Capstone has committed to creating shareholder value through profitable operations and accretive growth. While we believe the Santo Domingo project will provide both we are taking a very conservative position and disciplined approach relative to major construction project. Our decision on yes, how and when to proceed will depend on a number of factors including shareholder and market sentiment, attractive economics, financing, infrastructure and power requirements, also a strong social license and regulatory support as well as other opportunities. At this point, we are working hard to assess the projects in all these areas so that we can make informed decisions to create value for our shareholders. But finally of the Kutcho EIS has been delayed as we focused our people on the Pinto Valley transaction this quarter. As a result and along with stakeholder comments to the consultation period and some additional engineering work we’ll undertake, we’ll not submit the EIA in Q3’s plan. We are looking at the project schedule implications and we’ll report once that review has been completed. And lastly returning to capital expenditures and exploration, I want to highlight that we continue to generate positive cash flow from operations at considerable flexibly to adapt quickly if needed to and do not have any significant commitments to large capital expenditures in any of our operating mines or projects including Pinto Valley. Over the next several years, we have relatively low sustaining capital requirement including at Pinto Valley and no construction or development risk, while still growing our production by nearly three times. Post to Pinto Valley acquisition, we’ll retain a strong balance sheet and our debt to cap ratio will be one of the most conservative in our mid cap sector with the repayment schedule that is very conservative and our view, very conservative view of cash flows from our current operations and those of Tim anticipated from Pinto Valley. So, as of today, we have not chanted our 2013 capital spending plans and do not expect to change them under the current copper pricing environment. We also continue to be opportunistic as early stage, low cost exploration opportunities come before us. As we do continue to have some capacity in that area and are being shown significant opportunities during this downturn So, in closing, just to reiterate our top priorities to maintain our flexible financial position subsequent to acquiring Pinto Valley, we’ll continue to maintain a very strong balance sheet and receive cash flow from three low risk mining operations, which we believe will position Capstone well in the intermediate producer space. And most importantly, we have the flexibility and discipline to adjust quickly if conditions want. Operator that concludes my prepared remarks and we’re now ready to take questions from the floor.
Operator: Thank you. Ladies and gentlemen, we’ll now begin the question-and-answer session. (Operator Instructions) Our first question comes from George Topping from Stifel. Please go ahead.
George Topping - Stifel: Great. Thanks. Hi, Darren. Hi, everyone. The Pinto Valley and Darren can you give us more recent production figures for June or even July?
Darren Pylot: I think George, the divestment asset it’s running at about 85% of design capacity for both May and June. And I think they are going to continue to keep it at that level without pushing it too much further until closing because there is really no reason to do so but consistent production from May and June of about 85% is of design.
George Topping - Stifel: I see, okay. And do you have any early indication of how unit cost are looking dollar per ton mining, dollar per ton mill that sort of thing?
Darren Pylot: We don’t have that yet George. They haven’t declared commercial production at BHP as far as we can tell so we haven’t got any of that information that we can make public at this point.
George Topping - Stifel: Okay. Fair enough. Switching over to Minto the underground labor situation are you finding reasonably priced underground labor is available no.
Unidentified Company Speaker: The market certainly seems to be loosening up good and we’ve got it was kind of reflecting in Minto and in higher turnover and that certainly settled down. We’ve got (inaudible) now with a contractor and we’re gradually building up our own internal workforce.
George Topping - Stifel: Okay. Have you seen with the compensation you’ll have to pay maybe see that come down because…
Unidentified Company Speaker: No I wouldn’t say yeah, I wouldn’t, we haven’t seen anything like that but it’s obvious that the market is certainly more favorable to employers.
George Topping - Stifel: All right. And then lastly I’ll hand over maybe Tim is there on the cash flow statement just trying to figure out exactly how much cash tax was paid because the fee is reversed and the income - from the income statement and cash flow statement?
Rob Blusson: Hey, George its Rob here. Looking at the change between Q2 of this year and Q2 of last year, w hat you saw last year with the larger tax installments related to Cozamin and their tax installments are made on the measure of profit from the prior year. So, effectively what happened during that first six months of last year was we built up taxes receivable balance so you don’t see that same tax installment happening at the higher levels this year.
George Topping - Stifel: Okay. And in Q2 how much cash tax was paid?
Rob Blusson: Actual cash tax paid was 700,000.
George Topping - Stifel: 722,000, okay. I have got it.
Rob Blusson: Yeah 722,000.
George Topping - Stifel: All right. Got it. The also in the interest received and paid and it’s a small amount but it looks like nothing in the income statement, it’s all in the cash flow statement?
Rob Blusson: Great. So, again last year, what we had was contained within the balance sheet item cash and cash equivalents. We‘ve much higher balance of short-term deposits and basically those were driving a higher interest rate. So, they – a lot of those matured during the second quarter of last year and that’s why you got the $4 million in cash received last year versus a much smaller 1.8 million this year based on simple interest from bank accounts versus short-term deposit.
George Topping - Stifel: Right. Okay, great. Thank you.
Operator: Thank you. Our next question comes from Oscar Cabrera from Bank of America. Please go ahead.
Oscar Cabrera - Bank of America: Thanks, operator. Good morning everyone. Darren interested in your comments with regards to electricity in Chile you sound optimistic that you will be able to get a contract for power next year. Can you provide color around that comments with regards to existing producers or how do you see that developing over the next 18 months?
Darren Pylot: Oscar I’m just commenting based on what we’re - we’re in discussions that we are having with various power providers in Chile. We remain in discussions. Discussions are moving forward albeit nobody is prepared to put a contractor in place at this point and time. But we - the discussions we’ve been having are leading us to believe that there will be potential contracts in place sometime in early to mid 2014.
Oscar Cabrera - Bank of America: Right. And then…
Darren Pylot: So, what I - what I just basing it on what we’re reading in the news, we’re actually having discussions with power providers that are giving us this information and then we’ll have that.
Oscar Cabrera - Bank of America: Okay. It sounds great. Thank you. And then following on that so I’ve got capital allocation question in your release you mentioned that Kutcho had some issues and for your the land, the environmental impact assessment submission so have you, can you walk us through your thought process now is Kutcho should we expect this project to be put in the backburner as you, you guys work through Pinto Valley with the opportunities that you are being presented would it make sense to have another project instead of this one in the pipeline?
Unidentified Company Speaker: Hi, Oscar. The, I think the study, the pre-feasibility for Kutcho is 2.5 years old so we’re going through and we’re updating it and we’re working through the environmental assessment process. And we discovered you know some opportunities to make some improvements on it. And we’re fairly preoccupied with Pinto Valley right now so we just decided that we’ve said that we were going to have it completed by the end of the year. We don’t think we can, we can do it right by the end of the year. So, we’re just let, kind of letting everyone know that it’s going to be a little bit later. And we’ll see where, as we, as we put a little more work into this, into this updating the assessment and we’ll have more information for you.
Oscar Cabrera - Bank of America: Okay, great. Thank you very much.
Operator: Thank you. Our next question comes from Matt Murphy from UBS. Please go ahead.
Matt Murphy - UBS: Hi. I just had a question on Pinto Valley I guess it sounds like the mills running well and I’m just wondering what work is needed at site if any?
Rob Blusson: What work is needed at site all the CapEx has been stacked so there is no real work. They are just continuing to run it at steady state operations. And as I said in the commentary, there has been no issues with ramp up and things continue to run according to plan so really not much other than just to run at steady state.
Matt Murphy - UBS: Okay, great. And then, I know you mentioned this in past releases I’m sorry if you have addressed it but the NCIB you noted suspended until Pinto Valley is completed should I read from that, that you are planning to start one after?
Rob Blusson: No, you should just read that we had one in place that we’ve suspended it due to the fact that we’ve deployed a large amount of our balance sheet to Pinto Valley. And so we would not be looking to restart that in this year anyways.
Matt Murphy - UBS: Yeah, okay. And then just a quick one on Minto underground accounting treatment, there was a mentioned in the press release cash cost could decline with improving underground grades. And so I guess we’ll actually see that ore will be expensed?
Unidentified Company Speaker: Absolutely. So what we’ll see is the capitalization associated with that underground development we’ll see it once we get into the (Alpha) ore and we expect that late in Q3 and that should bring increasing grade in our mines the cost structure is a little higher with the underground ore but that being said we still expect the higher grade to offset and bring the cash cost down.
Matt Murphy - UBS: Okay, great. Thanks a lot.
Operator: Thank you. Our next question comes from John Hughes from Desjardins Securities. Please go ahead.
John Hughes - Desjardins Securities: Thank you, operator. Just one quick question on the permit modifications, just to sort of get some ammo out of the well and talk about the timeframe before the permits are actually received. For the two permits the Aquifer and the mine reclamation plan what kind of modifications were you looking for that was causing whoever I guess the government and whoever too have such a close look at the permits.
Unidentified Company Speaker: John, we’re not making any modifications well, our Pinto Valley was a site that was in closure for a numbers of years. And so as they’re starting up BHP as they’re simply going through the process of updating all their permits. And by the time the sale purchase we’re able to sign, that wasn’t fully – those weren’t completed so before we can transfer the permits those process have to be completed.
John Hughes - Desjardins Securities: I see. So it’s not necessarily specific to the transfer specific ones in essence to BHP getting the permits so they can transfer it.
Unidentified Company Speaker: Exactly.
John Hughes - Desjardins Securities: Okay.
Unidentified Company Speaker: Yeah, that’s yeah that’s the whole and there is no real issue with actually transferring which is getting them into a position you have to transfer it.
John Hughes - Desjardins Securities: Okay. And those are the two sort of more that you’re waiting on or they the one with regards to the Aquifer and the other with regards to the mine rec plan?
Unidentified Company Speaker: Yes, I mean between those two that covers the majority of the expected closure binding requirements.
John Hughes - Desjardins Securities: I see. That helps a lot. Thank you very much indeed.
Operator: Thank you. Our next question comes from Alex Terentiew from Raymond James. Please go ahead.
Alex Terentiew - Raymond James: Hey, good morning guys. I just – one more question on Pinto Valley, in May you guys mentioned 20-day period average recoveries were 84.2%. And I believe I read somewhere at the back in 2008, 2009 when the mine loss operated it hit around 89%. So I guess I'm wondering with the new upgrades at the mill and everything they’re doing there, if the mine is getting back to pre-closure recovery rates. Any details on that?
Unidentified Company Speaker: Well certainly there was a large improvement in recovery between May and June and we don’t have any reason to think they’re going to have any problems getting back to those historic levels.
Alex Terentiew - Raymond James: Okay. Okay, good. Thanks. One more question on Cozamin, mining miller rates at the mine have been pretty good so far this year especially in Q2. Has there been any improvements in the mining efficiency or there area that should see the mining rates stay at the current level or - could they fall back a bit?
Unidentified Company Speaker: No, I don’t think we’re going to see I don’t think we’re going to see much variation in the mining rates.
Alex Terentiew - Raymond James: Okay. So just..
Unidentified Company Speaker: Our focus right now at Cozamin is on couple of cost areas that’s they’re related to maintenance.
Alex Terentiew - Raymond James: Okay, that’s good. Thank you.
Operator: Thank you. Our next question comes from Stefan Ioannou from Haywood Securities. Please go ahead.
Stefan Ioannou - Haywood Securities: Great. Thanks guys. Just couple of quick question is just like first half just at Cozamin is now to last couple of quarters, they just be the concentrate inventory they’re sort of creeping up a little but just wondering is that something if I begin to catch up on here in Q3 or wouldn’t see inventories continue to stay relatively high.
Unidentified Company Speaker: We’ll have to get back to on that Stefan, there is no reason for inventories to be higher than usual, it’s just obviously it’s there is no weather or any other hinders just to transport. So it should be a steady state of trucking basically on a weekly basis. So we’ll get back to with the schedule of why those they turned to higher but there is no reason to believe they would do so going into the remainder of the year.
Stefan Ioannou - Haywood Securities: Okay, okay, great. And then just on Minto you sort of mentioned that the guidance for Minto is probably we’re going to trend towards the lower end of the guidance and obviously I'm guessing a big function of that is grade. In terms of Q3 versus Q4 grades looking forward it sounds like we won’t see at the end of the Q4 – are any of the underground higher grade stuffs sort of come into the equation until Q4. Do you have any indication right now that the open pit grade are trending back towards that sort of 1.5% at grade or is – is it still down by 1% right now.
Unidentified Company Speaker: Grades will definitely be coming up in the third quarter and then we’ll see a large increase in the fourth quarter both from underground contribution and from the open pit.
Stefan Ioannou - Haywood Securities: Okay, thanks.
Unidentified Company Speaker: Basically as I commented earlier because of that pit wall failure in the fourth quarter of last year obviously it put us two months behind those mine plan for this year. So what we’ve done is immobilize more equipment and more contracts in capacity there to speed that mine plans backup to catch up on the two months which we are making progress on we’ll continue to do so. So the further we accelerate that mine plan that the earlier we get to the higher grade materials.
Stefan Ioannou - Haywood Securities: Got it, got it. Great. Thanks very much guys.
Operator: Thank you. Our next question comes from Shane Nagle from National Bank. Please go ahead.
Shane Nagle - National Bank: Thanks operator. Just a couple of questions guys. We’ve seen a lot of companies cutting discretionary CapEx obviously you highlighted the impacting restrains on Q2 given the focus on Pinto Valley. Is there a way to reduce that $25 million that you have budgeted year for Santo Domingo which we see some of that’s possibly slip into 2014 or is the bulk of that require to spending for this year.
Unidentified Company Speaker: Well, yeah, the $25 million is 17% of that is cash on share which is $17.5 million so that’s our portion of the total expenditures there. And really that has to complete the feasibility study in the EIS and get that EIS filed. So we are going to – we will continue to – we don’t expected to be in any higher than that than the amount we’ve got in there but we do expect to spend that amount this year because we obviously see a lot of value in completing the studies and filing that EIS which is then going to take you into around a 15 months permitting process.
Shane Nagle - National Bank: So there is not a lot of discretionary CapEx in that number too…
Unidentified Company Speaker: No, the other operation that Minto it’s a lot of that CapEx is going into the underground development and purchasing underground equipment. And then at Cozamin again it’s mostly development in CapEx and a little bit of additional mining equipment there but really I mean on the exploration side we’ve got – we’ve got an exploration budget $5 million in Cozamin that we will spend and we really had no exploration this year at Pinto so not a lot of discretionary CapEx.
Shane Nagle - National Bank: Right, I didn’t see it, I know their operation that’s why I was just asking about the Santo Domingo. And then just we’ve seen a couple of companies I know Goldcorp is already started booking that new mining duty in Mexico the 5% tax deductible royalty. When that September 1st deadline do you know that’s going to be retroactive for the year or is it just kind of Q4 going forward if we see a ruling in favor of that duty we just lay that into the Cozamin model going forward or back for the whole year?
Unidentified Company Speaker: Based on what we’re seeing with that mining duty is that it would be come effective three months following approval by the Mexican congress. And so we’re really expecting that it will be a kind of a late 2014 issue that is not retroactive.
Shane Nagle - National Bank: Okay, great. That’s great. Thank you guys.
Operator: Thank you. Our next question comes from Gary Lampard from Canaccord Genuity. Please go ahead.
Gary Lampard - Canaccord Genuity: Thanks very much. I was going to ask a similar question about the Minto grades for the rest of this year. So looking at Q3 is it fair to say that you’re not heavily relied on a stock file material anymore. So a grade of 91.3% to 91.4% for Q3 would be fair?
Unidentified Company Speaker: Well we’re still going to be fairly heavily dependent on stock files for I believe for the month of August. The under – we started getting the small amount of underground ore at the end of the month at the end of August. And then the month following that we’ll have underground but we’ll also be into the higher grade zone of area too. So I – maybe 1.4 is probably a good average for Q3 and it will be significantly higher in Q4.
Gary Lampard - Canaccord Genuity: Okay, great. Thanks very much.
Operator: Thank you. Our next question comes from Patrick Morton from RBC. Please go ahead.
Patrick Morton - RBC: Hi, guys. Regarding the water situation in Cozamin, do I understand correctly that at normal rainfall levels absent these drought conditions we’d have – we’ve had you wouldn’t have required these new sources of water, it seems like you’re investing in at least two new sources and I just want to clarify would you not need that in a normal climate environment?
Unidentified Company Speaker: Well, I guess the average rainfall here in places like that it never occurs. So Cozamin is always either had too much water or we’re not really too much but there is always been plenty of water ore like the last three years it’s been pretty tough. So even before this drought they were working on trying to get other sources of water and that’s one of the reasons they were able to manage that the drought as well as they had because they’ve been working on for quite a while.
Patrick Morton - RBC: Okay.
Unidentified Company Speaker: And so we’re I mean we’re in really good shape right now and even it just started raining it started raining last month and there is a good bit of – there is a been a good bit of rainfall but even absent that we would still being to check.
Patrick Morton - RBC: And regarding supply from the local municipal water treatment plant. Is there any sensitivity with communities about using the local water sources?
Unidentified Company Speaker: Well, there were (inaudible) reasons it took quite a while to get that deal put together because we were trying to work through some of those new studies but we don’t anticipate any problems now going forward.
Patrick Morton – RBC: Thanks guys.
Operator: Thank you. (Operator Instructions). There are no further questions at this time. Ladies and gentlemen, this concludes your conference for today. And we thank you for your participation and ask that you please disconnect your lines.